Gerald Cysewski: Aloha from Kona, Hawaii. Thank you all for joining us today. I'm Gerry Cysewski, Chief Executive Officer of Cyanotech. Joining me on the call today is Felicia Ladin, our Chief Financial Officer. 
 I am pleased to report Cyanotech's third quarter fiscal year 2022 earnings results. I will turn the call over to Felicia to provide our forward-looking statement. 
Felicia Ladin: Thanks, Gerry. Our discussion today may include forward-looking statements. We do not undertake any obligation to update forward-looking statements either as a result of new information, future events or otherwise. Our actual results may differ materially from what is described in these forward-looking statements. Some of the factors that may cause results to differ are listed in our publicly filed documents. 
 For additional information, we encourage you to review our 10-Q and fiscal year 2021 10-K report filed with the Securities and Exchange Commission. I will turn it back to Gerry for comments on the quarter. Gerry? 
Gerald Cysewski: The financial results for the third quarter of fiscal year 2022 continue the positive results from the last 2 quarters of fiscal year 2022, although we are experiencing supply chain constraints similar to most production and manufacturing businesses, we have been able to minimize them to date. 
 Demand remains strong as we are benefiting from increased interest in naturally derived high-value nutrition products for human health and well-being. During the third quarter, we paid off the outstanding balance on the line of credit of $350,000. This provides us with additional liquidity and access to the full $2 million on the line of credit. 
 Now I would like to turn the call over to Felicia to discuss the third quarter. Felicia, please? 
Felicia Ladin: Thank you, Gerry, and good evening, everyone. 
 Net sales for the third quarter of fiscal 2022, were $9,459,000 compared to $6,985,000, for the third quarter of fiscal 2021, an increase of $2.5 million or 35%, driven largely by an increase in bulk sales. Gross profit for the third quarter of fiscal 2022 was $3,238,000 with a gross profit margin of 34.2% compared to gross profit of $2,071,000 and a gross profit margin of 29.6% in the third quarter of fiscal 2021. 
 Gross profit as a percentage of net sales increased by 4.6 percentage points compared to the same period last year, which was the result of lower costs of both Spirulina and Astaxanthin. 
 Operating income for the third quarter was $508,000 compared to an operating loss of $441,000 last year, reflecting an increase in sales and lower cost of Spirulina and Astaxanthin. 
 Net income for the current quarter was $386,000 or $0.06 per diluted share compared to net income of $827,000 or $0.13 per diluted share in the prior year. The prior year net income included the forgiveness of the loan under the Paycheck Protection Program in the amount of $1,389,000. Company had cash of $2.3 million and working capital of $11.2 million as compared to $3.8 million and $9.3 million, respectively, as of March 31, 2021. 
 I will hand the call back to Gerry for concluding comments. Gerry? 
Gerald Cysewski: We have not had any questions. 
 Thank you for attending the call. Please stay safe and healthy. Aloha.